Akihiko Miyagawa: Good afternoon, everybody. Let us start the SCREEN Holdings Company's full year financial results explanation for the year ending in March 2025. Let me introduce you today's presenters.So first of all, Toshio Hiroe, Representative Director, President and CEO. This is Hiroe. Thank you very much for your participation. And this is Yoichi Kondo, Representative Director and CFO. This is Kondo. And in addition to CEO and CFO, we have three officers. First, Masato Goto, Senior Managing Executive Officer, Ms. Goto; and Manabu Ishimura, Senior Financial Strategy Officer. This is Ishimura. And Akihiko Miyagawa, Senior Corporate Strategy Officer. I am Miyagawa. Thank you very much. Now we'd like to have Kondo, CFO, to give the presentation about the financial results.
Yoichi Kondo : Now let me start my presentation on the briefing of the financial results for the year ending March 2025. First of all, we achieved the increase of the sales and profit against the previous year, hitting the record highs for the fourth year in a row, especially SPE made a great contribution in leading this growth. And the year-end dividend payment will be raised to JPY 188 per share compared to the January forecast of JPY 163 per share. And annual dividend payment will be JPY 308 per share, also record high. And about SPE, there is a client request for the early delivery, so we could see the large increase in the sales and profits year-on-year. Net sales, OP income and OP margin all hit the record highs. And net sales growth rate outperformed the WFE market for two years in a row. And we saw a great improvement in our market share for the single-wafer clinic equipment. And with FT, we saw the great improvement in the performance and balance sheet equity ratio improved to 62.7% and credit rating was raised to A+ by JCR. And let me move to the next page, and these are the figures. So the net sales JPY 625.2 billion, and operating income was JPY 135.6 billion with OP margin of 21.7%. And ordinary income was JPY 138.2 billion, and net income was JPY 99.4 billion. And against the same time of the previous year, the net sales increased by JPY 120.3 billion, OP income, JPY 41.5 billion, ordinary income increased by JPY 43.9 billion. Net income increased by JPY 28.8 billion over the previous year. And these are the graph is for your reference. So on the right side, you can find our ROE now hit 25.1%. And this is the composition of group sales by the region. So the Japan, 14%; Taiwan, 18%; China, 42%; South Korea, 5%; and other countries, 4% and North America 10%. So there's an increase in Taiwan and China with decrease in North America. And this is the sales by segment. So PE 2.3%, FT 5.7% and GA 8.5% and SPE 83.1%. And this is the consolidated earnings by segment. First of all, in the fourth quarter, the sales for SPE was JPY 135.5 billion and operating income was JPY 36 billion, OP margin, 26.6%; GA net sales, JPY 13.9 billion; OP income, JPY 1 billion; OP margin 7.2%; FT net sales, JPY 11 billion; OP income, JPY 1.6 billion, OP margin 15.4%; and PE net sales, JPY 4.5 billion, OP income, JPY 0.5 billion; OP margin 11%. And for the full year, SPE net sales was JPY519.5 billion, OP income, JPY136.9 billion, OP margin 26.4%, and GA net sales, JPY53 billion, OP income, JPY4.2 billion, OP margin 8.1% and FT net sales was JPY35.8 billion of sales, OP income, JPY3 billion, OP margin 8.5%; NPE net sales, JPY14.1 billion, OP income, JPY1 billion; OP margin 7.5%. And this is the comparison Q-on-Q and year-on-year. So SPE Q-on-Q, with the decrease of sales and profit, there was a difference of JPY19.3 billion or JPY5.8 billion because of the strong performance in the third quarter. So this is not a bad figure for the fourth quarter. There's increase in the sales to Taiwan and Japan. GA had an increase of sales by JPY200 million and profit decreased. And mainly in the United States, the caring business was strong, but the fixed cost increase had an impact on the profit. FT increased in sales and profit; sales increased by JPY700 million and profit increased by JPY400 million. Both the OLED SCD performed well and the variable cost reduced. And PE increased in sales and profit; sales increased by JPY1.9 billion and profit increased by JPY600 million. So both sales and profits increased; sales recovered both outside Japan, mainly for the direct patterning. And on year-on-year on the right side, SPE achieved an increase of sales and profit, so JPY101.8 billion, increase in sales and JPY39.9 billion, increase in profit. Sales to the leading-edge applications in Taiwan and mature nodes in China led the growth, and sales to foundry, logic, and memory all increased. NGA increased in sales, but profit was flat. So while the recurring business performed well, fixed cost increased. And next, FT increased in sales and profit; JPY12.5 billion increase in sales and JPY3.4 billion increase in profit. So there's a great improvement in the performance of FT. NPE decreased in sales and profit, with a minus JPY400 million decrease in sales and minus JPY700 million in profit. And this is a situation of the balance sheet, and JPY61.2 billion is a total and net asset increased to JPY420.6 billion, while the equity ratio improved to 62.7%. And because of this, the credit rating was improved to A+ by JCR, Japan Credit Rating Agency. The outlook is stable. And this is about the cash flow. In the fourth quarter, the operating cash flow was JPY26.8 billion; investment cash flow was minus JPY4.4 billion; free cash flow was JPY22.4 billion and financing cash flow was minus JPY19.7 billion. And as see year-on-year, the operating cash flow was JPY71.2 billion and investment cash flow was minus JPY21.7 billion and free cash flow was JPY49.4 billion, and the financing cash flow was minus JPY46 billion. So we have a very smooth progress with the cash flow. And this is the analysis of operating income growth. So the result of the year ending March 2024 was JPY94.1 billion, and there is an increase of the sales and capacity utilization, plus JPY50.5 billion, and profitability improvement was JPY4.5 billion, but there was a reduction by the fixed cost by JPY14.5 billion, and impact of the exchange rate was JPY1 billion. The result was JPY135.6 billion for the year ending March, 2025. And then the increase in sales and capacity utilization is attributable to SPE and FT and profitability improved mainly in SPE. An increase in the fixed cost is mainly due to the growth investment in SPE, labor cost, depreciation, amortization of expenses, et cetera, and exchange rate positively impacted GA and PE.
Unidentified Company Representative: Thank you, Mr. Kondo. So Mr. Hiroe is going to explain the business environment and the outlook. Mr. Hiroe, please.
Toshio Hiroe: So, I'm going to talk about the business environment and the outlook. First of all, about the business environment, the growth of the semiconductor device market is driven by the deep learning inference accelerators for servers, which is quite steady. And as for the manufacturing equipment, the leading-edge investment is continuing and also the mature node investment in China is also steady. So investment is continuing. Talking about GA, centering the Europe and the US, the business environment centered around the POD remains sound. Recurring business is also showing the steady progress. And talking about FT, the investment in OLED, as well as LCDs remain steady. We would like to aim for increasing both sales and profit. About the PE, while advanced packaging remains strong. But the market environment for printed circuit boards remains challenging. There is a delay in the investment decision by customers and full recovery is expected from the second half and onward. As for the business outlook, the FY 2026 full year forecast, we aim to maintain high levels of sales and profits, but there is an impact of U.S. tariffs. So we have conservative numbers factoring in the impact. And the second year of the mid-term management plan this fiscal year, we consider them as a phase of preparation for the further growth. And we are going to steadily implement growth investment as we have explained. And we aim to achieve our goals over the cumulative three-year period. This fiscal year, which has started, the annual dividend is projected to be JPY280 per share. And SPE business overview is going to be explained. Talking about WFE, in calendar year 2024 landed upward. And then we didn't expect that, but it was actually landed at $110 billion. So there was a rush demand. So calendar year 2025, we assume the same level, and calendar year 2026, the further growth is expected at this point in time. And the investment trends by application as for foundry, the cutting-edge applications are leading the WFE growth. The investment forecast in Asia, but is expected to expand into the North America. As for logic, the clients are carefully revising their investment plans. As for memory, the HBM for AI, the investment momentum is continuing. NAND is expected to see the same level as previous year. And the image devices, the investment is expected to resume later in CY 2025. Power device remains sluggish and the recovery is expected to be delayed to the calendar year 2026 onward. And then we added advanced packaging this fiscal year and the development has started at the panel level in addition to the wafer level. And talking about the China market, the investment continues steadily to build its own supply chain of semiconductor. And the last point, competitive environment market share has significantly improved briefly mentioned, the details will be given later. We face the or accommodate the customers' needs sincerely, and we would like to market our solutions in non-FEOL areas as well, including advanced packaging. And this is the consolidated trend by application. By application, the Q-on-Q, the foundry -- the sales to foundry is increasing further. In year-on-year, the foundry -- the sales to foundry and logic increased in ratio. And as for post-sales, the sales increased steadily. in January, the -- ¥126.2 billion and they actually ended ¥135.5 billion, therefore, a little upward. And then some of the customers wanted to have advanced delivery. So that was posted as March sales. Next is by destination. That's the same thing, but in January, the ratio for China was expected to be the 33%, but landed at 38%. As I explained earlier, the China project is increasing. This is the result. And by destination for Q4, Q-on-Q, the sales to Taiwan and Japan has increased significantly in ratio. The ratio of sales to China hasn't decreased. And the full year and year-on-year sales to Taiwan has grown significantly in ratio and the sales to China grew further from the previous year. And the full year at the far right, January, the forecast was the 510, but actually landed at 519.5 that the impact overall. And this one, the first half estimate of JPY 240.5 billion by application, the first half results and then the first half estimate compared, the foundry ratio decreased, but the DRAM portion is expected to increase. And if you compare the second half results and the first half forecast, the same things can be said. As for the foundry, the advanced investment is quite robust and also the investment in foundry in China is also emerging. As for the DRAM, the HBM leading-edge related and the China-related investment gave a positive impact -- is giving a positive impact when we look at this fiscal year. And next, about by destination, the first half results and the first half forecast are compared, it is expected to increase in the Taiwan and Korea. And the second half results and the first half estimate compared the big increase in the sales to Taiwan. The sales to China is expected to land in 44%. So the first half and the second half, which ended almost the same percentage in China. And the second half is we expect this percentage will decline a little bit. GA, centering the ink, the recurring business sales remains stable. We aim to improve the operating margin through the launch of new products. The new products release was delayed a little bit, but in June, we expect the launch in June, and we are working on the development, and we expect the contribution by this launch. And as for GA, the tariff in the US, 10% tariff is enforced. And so the recurring business, especially in ink same tariff will be imposed. And so that impact is factored in the current forecast. As for the FT, the display -- the sales have recovered due to the recovery of the display market. And going forward, the OLED is expected to take a center stage, but there is still solid demand for LCDs in China for TV, the subsidy is given their Chinese policy. So because of that, the demand is arosed. And therefore, the investment for increased production, we can see this impact. So in the previous year, we achieved the surplus for the first time in three years, and will further increase our profit in this year Next is about PE. So as was mentioned by Mr. Kondo, the PE is a little bit struggling. In general, investment into packaging little bit weak right now. So at the end of the calendar year 2025, we can expect the increase of recovery of the investment. And order intake of the post sales has been at the high ratio. So I would like to place expectation on it and wait for the recovery. And next page is about the business forecast. So about the first half, the sales is JPY 299.5 billion and operating income JPY 54.5 billion, the OP margin 18.2%. These are the targets. And for the second half, net sales ¥321.5 billion and operating OP income ¥60.5 billion, OP margin 19.4% are our targets. So for the full year, our net sales target is ¥621 billion, OP income ¥117 billion and OP margin 18.8% are the full year targets. And ¥88 billion is the net income expected, which means the decrease in the profit, but we'd like to find a way to improve it further. And about SPE, in the first half, the target is ¥240.5 billion, OP income ¥57.5 billion. OP margin 23.9% is expected. And for the second half net sales ¥261.5 billion is expected, OP income ¥63.5 billion with OP margin of 24.3%. And for the full year, ¥502 billion of sales expected with ¥121 billion of OP income and 24.1% of OP margin up planned. And GA so the other businesses, let me introduce you the one for the full year with net sales of ¥53 billion, OP income ¥2.5 billion and the 4.7% OP margin. And FT net sales ¥45.5 billion, as OP income ¥5 billion, 11% OP margin. And PE ¥15 billion of net sales with OP income of ¥1 billion with 6.7% OP margin and others expected net sales of ¥5.5 billion and OP income with a loss of ¥12.5 billion because of the advanced investment into the research and development. And I think SPE is a business you are paying attention to. So let me elaborate on SPE. So in SPE, we have to make the greater investment into the research and development. So including the labor cost, the fixed cost of SPE will be larger from now. And product mix compared to the previous year, the product mix is a little bit weaker, especially with the China. The ratio on the new customers will decrease. That is a feature we now expect, that is result in the exacerbation of the product mix. And about GA, we expect the impact of tariff and FT may also have the impact from tariff. So we expect a slight impact from the current tariff. And next is about the R&D expenses, CapEx and depreciation. So in the previous year, we can find the trend, which was explained by Kondo a moment ago. So the CapEx exceeded generally forecast. But as for the R&D expense, we were short of the budget. And this will be shifted into the project in this fiscal year. So in this fiscal year, we have ¥38 billion of the other expenses and ¥28 billion of capital expenditure and ¥15 billion of depreciation and amortization. So we'll execute our investment as planned so that we can achieve the next phase of growth. And this page is for your reference. Next page, please. And this is the waterfall chart, which shows the analysis of operating income growth. So ¥135.6 billion in the results of year ending in March 2025. We have the increase of ¥8 billion in sales and capacity utilization, which is mainly led by FTGA and PE. And the profitability is minus ¥2 billion. And FT, GA and PE have the positive performance, but because of the product mix I mentioned earlier, the SPE is on the negative side. And the fixed cost coming from the research and other expenses, labor costs, and investment into the future growth, and also the increase of depreciation, so we expect minus ¥19.5 billion, and mostly coming from the SPE business. And impact of the exchange rate is minus ¥5.5 billion. And SPE and GA share this impact from exchange rate. So the total is ¥117 billion. And exchange rate is ¥135 for dollar and ¥150 for euro. And the sensitivity hasn't changed from the previous year. And next page about the annual dividend output. As was mentioned by Mr. Kondo a moment ago, for the year ending in March 2025, at the end of the year, we're going to make ¥188 of the year-end dividend payment, which will make the annual dividend to ¥380 record high per share. And the focus for the year ending March 2026, interim dividend payment will be ¥123 and year-end dividend will be ¥157. So annual dividend will be ¥280. And we are going to achieve the payout ratio of 30% or above as a target. And these figures support this target. And total payout ratio is expression we have used so far. And as you know, since the previous fiscal year, we made the ¥30 billion share buyback, which was complete in April. And ¥18.9 billion of the share buyback was complete in the previous year. The total shareholder return ratio is 48.9%. And next page, this is already announced. On June 20th, we have the 84th Annual General Meeting of shareholders and this has to be approved on that occasion but we'll have the change of representative directors in this way. And I myself will have the new title of Representative Director, Member of the Board, Chairman. And today, we have Koto [ph] in this meeting, and he will be the Representative Director, Member of the Board, President and Chief Executive Officer, who is now the Senior Managing Executive Officer. And Mr. Kondo will serve as a Member of the Board, Executive Vice President and Chief Financial Officer. So myself and Mr. Kondo will support Koto-san, Mr. Kondo. And -- we have been receiving the support from Mr. Takeuchi, the Chairman, and Mr. Takeuchi will remain as executive adviser for us. So he will be active in the field of economic cycle. And through the value of 2030, the midterm management plan period, by introducing the ROIC system, we could see the improvement in the business management so that we now have the power of capability to generate cash. And the current period of midterm management plan, the priority is to where we make the investment from now. So we will continue to make the strategic investment, so that we can be prepared for the next level of growth. And at this timing, we will succeed the business to the new generation of management. And I think this is a very appropriate step for us. That's why we decided in this way. And in the coming midterm management plan, so which follows 2026, we are now the timing to come up with the next midterm management plan, and we'll ask Mr. Goto to take initiative in coming up with the next midterm management plan. So Mr. Goto, do you have any comment at this moment?
Masato Goto: And I am Goto. So together with Mr. Hiroe and Mr. Kondo, we will be involved in the management of the business of SCREEN Group, and I ask for your kind and continuous support. So thank you very much.
Yoichi Kondo: Okay. Now, I would like to talk about the progress of Value for 2026. I already explained about the financial results. So today, I would like to focus on ROIC and then the first year result was 24.7% of ROIC. And the second year forecast is 19.6%. However, we would like to increase further. The topic is attached. Among the topics, what I would like to introduce is the acquisition of Land in Yasu. I hope you will be aware of that. And then the semiconductor manufacturing equipment production site will be produced overseas, and we have decided the direction of that investment. And by doing such investment steadily for the next investment, we would like to work for the further growth. And the appendix is attached to the major equipment global share, you can find the appendix and the Gartner that released the number, the single wafer cleaning equipment, we have a 42% market share and batch type cleaning equipment, 46% and spin scrubber, 45% of our market share has increased mainly due to the leading-edge foundry or the mature node foundry, the POR was acquired. And the ASP has been gradually increased because of pass on our prices. And as for the new topic, advanced package area cleaning application has been widened, and that is contributing to the certain amount of sales. And due to these factors, our market share is growing. And so continuously, we would like to increase our market share. So that's all for me. And I myself, this is my last presentation in the briefing of our financial results. Thank you very much for your kind cooperation. And Mr. Goto will succeed me, and thank you for your continued support and cooperation. Thank you very much, Mr. Hiroe.
A - Unidentified Company Representative: So, moving to the Q&A. Morgan Stanley, MUFG, Wadaki-san, please.
Tetsuya Wadagi: Thank you. As for the forecast and plan, in comparison to that, they look a bit smaller. But as for the second half, how much can you foresee, I mean, forecast? You had an interview; you have full capacity in the plant. And as for the second half, how much can you forecast, including the capacity utilization of your capacity at the plant? Hiroe, is going to answer your questions.
Toshio Hiroe: That's for the forecast for the second half. As for the first half, we have insight. And as for the second half -- the third quarter -- half of the third quarter has inside our in our impression. From the year-end to the following year, the project is still uncertain. So, due to the tax impact taken into consideration, we have announced the forecast in a conservative way. First quarter, at the end of the first quarter, we can see the second half clearly. At the end of the first quarter, we would like to share the information with you.
Tetsuya Wadagi: Okay. Understood. And the second question, generally speaking, the transaction with the companies on the entity list -- how do you consider that? Are you not going to have a transaction with them or, along with the regulations, are you going to continue yourselves?
Toshio Hiroe: We follow the guidelines of the Ministry of Economy, Trade and Industry, and we operate our business. And the entity risk-related companies -- the U.S.-made needs to be used 25% or higher. So, it's not covering our business. So, we follow the regulations of the Japanese government.
Tetsuya Wadagi: Okay. Understood. Thank you very much.
Unidentified Company Representative: Thank you very much, Wadagi. Now Mr. Shimamoto from Okasan Securities.
Takashi Shimamoto: Hi. This is Shimamoto from Okasan Securities. Can you hear me?
Toshio Hiroe: Yes.
Takashi Shimamoto: Thank you for this opportunity. I have a question about how to read the WFE business. So, in a quantitative way, in a more specific way, would you elaborate on the foundry and Chinese market situation? How do you see the coming year about these businesses?
Toshio Hiroe: About WFE, we had a kind of last-minute demand increase at the end of the year. So, for this year, we have the focus a little bit smaller. So we expect the level will be the same as that of the previous year for this fiscal year, which is mainly led by the foundry. So investment into the leading edge has been continuing and also, in the Asian region, including China, the investment will be made. That's how we see the situation. And unfortunately, logic seems to be a little bit weaker. In Memory, the investment leading to HBM is now very sound, especially DRAM HBM-related investment is now very active. And NAND is same level as that of the previous year. And for the image device, from the end of the fiscal year, we expect the recovery in investment then we can expect a certain level of sales and profit. And the power device is a little bit weak.
Takashi Shimamoto: Thank you for your answer. Another question is about China. So do you see the situation in China positive or negative?
Toshio Hiroe: In the first half in China, we came up with a forecast, so to be at the 44% comparable to that of the previous year. And toward the second half, this will decline to about 30%. That's how is the situation now.
Takashi Shimamoto: Thank you very much. So the total of China will be negative from now?
Toshio Hiroe: Yes.
Takashi Shimamoto: Thank you for your answer. I have another question. So, impact of tariff. So you mentioned that you already incorporated the impact of tariff. And if you can elaborate on how much impact you actually involved? And I think GA has a direct impact. But as for the production equipment, how did you incorporate the impact of tariff in your forecast? Could you explain on this point?
Toshio Hiroe: So the impact of tariff on GA, now we have the baseline 10% tariff. That's what I mentioned earlier. And with this figure, the tariff impact is incorporated. So, billions of yen of impact is expected. And for SPE, not much impact is incorporated. At present, how the tariff will be imposed on semiconductor is now being studied as a separate box. That is the current situation we acknowledge. So there's a tariff on aluminum spare parts. And how -- so it is relevant to the -- we have to calculate the amount of weight of aluminum contained in the component and parts to come up with the exact impact of the tariff. So we are now working on that very difficult analysis. And I think we can find more details in April or May. And when the things became more clearer, we'd like to share that information with you.
Takashi Shimamoto: Thank you very much. That’s all for me.
Operator: Thank you, Mr. Shimamoto. Next, Goldman Sachs, Mr. Nakamura, please.
Shuhei Nakamura: Thank you very much. Thank you very much, Mr. Hiroe for your great support. The first point, the impact of the tariff, the new fiscal year the forecast factoring in situation was explained. But at the moment, from your customers' forecast or the investment plan from your customers, after the tariff topic came up, is there any change or concerning the inquiries or the order received?
Toshio Hiroe: At the moment, GA, SPE, no impact has been seen. After this time, we -- based on the assumed impact, we may ask the customers, then some kind of impact may be given. But for the time being, no outstanding impact is seen. So at the moment, advanced order demand is not occurring. Yes. As I explained, the Chinese customers, a little bit requested to make an advanced delivery in the year, which it was ended. But other than that, it's steady. And the second question, considering the profit of the SPE in the new year, the OP margin is going to decline and the product mix and the R&D and the labor cost increase were explained. In comparison to the previous year, the 2.3% point seems to decline this fiscal year, but the gross margin and the SG&A and what would be the breakdown? And SG&A seems to be increasing in your plan. Would you explain or elaborate on that?
Yoichi Kondo: Exactly, you mentioned the impact is product mix. Product mix impact is bigger. The R&D cost increase is factored in to some extent. So, there is some impact of R&D. Ishimura-san, do you have any additional comments?
Manabu Ishimura: Miyagawa is going to add as for the fixed cost, looking ahead, the labor cost increase by increasing the personnel and then R&D expenses going to be increased, and they are reflected.
Shuhei Nakamura: Okay. Understood. So the cost of sales also increased about 1% point and so those SG&A also increased by 1 percentage point.
Yoichi Kondo: Yes, that's right. Thank you.
Operator: Thank you very much. Next, Mr. Yoshida from CLSA Securities, please.
Yu Yoshida: Thank you very much. This is Yoshida. And Mr. Hiroe, thank you very much for your great work so far, and I expect your continuous great work. And my question is about WFE. A moment ago, you made a comment by application, especially about foundry, you said that situation is sound. You expect -- do you expect a positive growth from now? So, when the foundry DRAM achieved growth, logic may be a negative growth, but power device negative. But in general, I think rather than flat, the performance of the SPE will be stronger. So, when you see the total situation, how do you see the 2025? And -- in your comment, you expect a further growth into the FY 2026. But toward 2026, do you expect any change in any application?
Toshio Hiroe: So the foundry, we expect to be a positive growth, but the mature node in China in the second half may decrease. That's how we expect. And this part will have the negative impact offsetting the situation. So that's why we expect the growth will be flat from 2024. And in 2026, we expect a further growth because we have the investment into the overseas halves. And we can expect the contribution from these overseas halves into which we are now making investment right now.
Yu Yoshida: So with foundry, Asian manufacturers overseas deployment will make the contribution into the 2026. That's how you expect the growth.
Toshio Hiroe: Yes, including America United States, we can expect the situation move in that way.
Yu Yoshida: And my second question, so in this -- you said that you have certain level of visibility for the first half. And -- but compared to the fourth quarter of the previous year with SPE, what kind of direction you now find? And compared to three months ago, how do you evaluate the current level of demand or order intake? Do you see any change in the trend?
Toshio Hiroe: So environment for the order intake compared to the fourth quarter in the previous year, where the order level was a little bit slower, smaller. And on the timing of the fourth quarter, the customers did not place the orders with us because of their own reasons. And we have a report that in the first quarter, we are not receiving orders from these customers. So we are not concerned about the situation. So how the order intake will increase in the first quarter will be the kind of indicator for us to make the forecast for the order intake for the full year. And the visibility we have about the first quarter or first half, especially about the first quarter, we have the good visibility. But customers sometimes changes the expected delivery date or delivery timing. And that kind of fluctuation should be expected for the quarter. But level of the order intake is enough for us for the quarter. And I think this situation will continue until the end of the first quarter with enough amount of order backlog. So compared to the fourth quarter, do you expect the sales trend is same from the first quarter. So how do you see the trend? So as you see on the screen right now, compared to the first quarter of the previous year, there's a slight increase in the coming first half. So in the first half to first half comparison, there will be a rise. But as we have been saying, in the second half, because of the several factors, there's a possibility that in the second half, there will be greater sales in the second half. So whether we can achieve the same level of JPY 2,904 billion in the second half of this year is now being scrutinized or studied as now.
Yu Yoshida: Thank you very much.
Operator: Mr. Nakanomyo from Jefferies, please.
Masahiro Nakanomyo: Nakanomyo of Jefferies Securities. Thank you very much. And thank you very much for your work so far. And I'm sorry to repeat, but as for China, the entire market based on the WFE -- in the previous quarter, the CY 2025, the China is not expected to decline so much. I believe you talked about that. But in 2024, there was an upside, but how do you see the decrease in 2025? In your explanation, so far, the immersion is weak, but existing is quite steady. But among the immersing, there are some strong companies. Is there any changes for the past three months?
Toshio Hiroe: No change has been seen. At the end of the day, according to the WFE, at the end of 2024, there was a portion of increase. That portion will become negative in 2025 according to my impression. The previously, the first half China portion is high, but less in second half. And -- but at the end of it would be the middle 30% level. This is what I explained. And then it has been progressing as we had expected. So the percentage you mentioned is your company and percentage of your company and the percentage of WFE. Now we are talking about our company's percentage. And so according to the WFE, I don't know, Goto-san, do you have any comment?
Masato Goto: Then according to WFE, as Mr. Hiroe mentioned earlier, there is no significant change. So our prospect or the forecast is almost the same as the forecast of WFE.
Q – Masahiro Nakanomyo: So the investment of existing players increasing or do you see any trend?
Masato Goto: The existing customers is getting stronger. Yes, that's the trend this fiscal year. I'm talking about this fiscal year.
Q – Masahiro Nakanomyo: Okay. Thank you very much
Masato Goto: Thank you.
Operator: Thank you very much Mr. Nakanomyo. Next is Mr. Yoshioka from Nomura Securities.
Q – Atsushi Yoshioka: I have two questions. So first one is about the market of WFE. So I want to confirm in that sense. So is there any possibility of the downward revision about WFE or you haven't made any downward revision? And compared to three months ago, is there any change taking place by application? So if there are any application with great change, please advise them.
Toshio Hiroe: So compared to three months ago, as has been commented by Goto-san a moment ago, in all market, we haven't changed our view. So simply put, the one slided into the -- this fiscal year is now analyzed how they will have an impact on the performance. So what is strongly performing is the generative AI-related leading edge or HBM. We have the impression they are performing very strongly. And as I touched upon, the cleaning in the advanced packaging area is growing, and this is an area we place expectation on.
Q – Atsushi Yoshioka: Thank you very much. And a follow-up question about the advanced packaging. So are there any factors behind the sharp? And your ratio in your sales, what scale of business? So how much growth do you see with advanced packaging? And compared to the others, you have the high share. Can we see in that way?
Masato Goto: Thank you for your question. Advanced package cleaning is now applied by the customers who are working on the development of leading-edge applications. So we have the inquiries from them and develop various products. So this is the background of the growth. And volume-wise, it is not so big to talk about. It's billions of yen of scale.
Q – Atsushi Yoshioka: Thank you very much. And my second question, please briefly comment on the forecast between the first and the second half. And your visibility about the second half is not so clear at this moment. But when you make the comparison between the first and second half, this is about SPE. So I think you expect the growth of the sales. So would you elaborate by application? So which sales -- which application sales do you expect to increase into the second half?
Masato Goto: So the foundry will lead the growth. There was no change in that. And memory-related business will get stronger in the second half. So DRAM may be strong. Hiroe-san, do you have any comment on Flash?
Toshio Hiroe: So Flash may increase in the second half.
Q – Atsushi Yoshioka: Thank you very much. I understand.
Operator: Thank you, Mr. Yoshioka. Since there is no person to ask questions. And so with this, we would like to conclude the 2025, the consolidated business results and forecast briefing. Thank you very much for joining today.